Executives: Stephen Koseff - Chief Executive Officer and Executive Director Nishlan Samujh - Chief Financial Officer Perry Crosthwaite - Non-Executive Chairman of Investec Plc & Investec Ltd
Stephen Koseff: Welcome everybody to our annual results. I'm going to kick off and then I'm going to get Nishlan, our CFO to continue, and then I'll come back and talk a little bit at the back end. We are connected to everybody. I'll need my stuff on the screen. Thank you. So I think, if we look at the operating environment, it was quite a mixed operating environment. We had a lot of political uncertainty in both our core geographies, Brexit in the U.K. and in South Africa, we had a lot of volatility on the political front. I think that would have continued to affect both corporate and consumer confidence, both in the U.K. and in South Africa. I think we all know that from middle of December or 20th of December, with the change in leadership with ANC, and subsequent to that, a change in presidency, and that would have helped uplift confidence in South Africa, but that wouldn't really have affected the trading period that we were operating within. I think, both - we're probably lucky that the global backdrop was quite positive. I think we know that the World Economic Forum did emphasize, it's the first time in many years that you had global synchronized growth, but still we - and our main operating business was in 2 geographies that were experiencing some volatility or some difficulty. I think if we look at the stock markets in our key geographies, the U.K. stock market was marginally down and South African stock market is up about 6% year-on-year. Very different to what you saw with the Dow, which was probably up almost 20% or just over 20%. So not a perfect environment, but a manageable environment. I think if you look at our results, I think overall, we believe these are satisfactory performance. We had decent growth in our key earnings drivers and our recurring income base was particularly solid. We had good client activity both in the corporate and private client area, and we saw quite strong loan growth both in the U.K. and in South Africa relative to the environment we're operating in. I think a big feature of the results was the GBP 7.3 billion of net inflows achieved in both our Asset Management and Wealth businesses without taking our funds under management above the GBP 160 billion mark. We, as a firm continue to invest in growth and position the firm for future growth. That means that we'll have to invest in our people, in our infrastructure and, in particular, IT and there's lots of regulatory initiatives that we have to manage, which will be coming over the years. So it's important that we invest to remain competitive and relevant in our core markets. So that's just a brief introduction. I'm going to call on Nishlan Samujh to take over for a while, and I'll see you just now.
Nishlan Samujh: Good morning, everyone, and a privilege to be on the stage with Stephen. Let's just go through some of the statutory performance numbers. All right. Can you guys hear me any better now? This is proving more difficult than it should be. All ready. Okay. So if we look at our statutory performance, operating profit is up to 1.4% in the period and I'll remind you this is statutory, so it includes both ongoing and the legacy performance for the period to GBP 607.5 million. And as we go through the detail, we will unpack the various drivers of that. But if I had to summarize it, really positive impact from our underlying fundamental drivers such as average funds under management and activity levels, high-end payments and I'll go through details around that, mainly around our legacy book and a slight uptick in our cost base in the current period. You will note from this slide that our effective tax rate for the period is 9.6%, which is significantly lower than our sort of average tax rate and that's mainly rising in South Africa, where we have closed out some tax matters and that closure results in a release of provisions that we no longer require. And taking those two line items into account, our adjusted earnings per share is up 10.1% in the period to 53.2% and that is 4.1% on a currency-neutral basis because the income statement did have a positive impact of the improving currency over this financial year. Dividends per share, we've proposed a total dividend for the year of 24p, which is 4.3% up from the prior year and that's pretty much in line with the growth in the adjusted earnings over this period. I think the rest of the results I'll focus on ongoing and we'll summarize legacy a little later. If we just look at the business model, focusing on both the geographies and the various businesses, from a geographic perspective, the contribution over this last year, very similar to last year in terms of percentage contribution with South Africa contributing 58% and U.K. and other contributing 42% to the results with U.K. contributing 44% in the prior year. From a U.K. perspective, relatively flat performance for combined businesses, which was up 1.2% in pounds, and in South Africa 3.3% up in rand terms. I think Stephen has given you some insight into the economic environment that we obviously faced for pretty much three periods out of the four periods in this financial year, and you have got an improving trend looking ahead. From the businesses perspective, the three businesses; Specialist Bank, Wealth & Investment and Asset Management, overall contribution percentage to the results, again pretty similar to the prior year with the Wealth and Asset Management businesses contributing 36.9% to the overall profitability of the group. Let's just have a quick look at some of the key drivers and that will help us unpack the underlying operating profit numbers itself. Third-party assets under management, Stephen mentioned, the strong inflows over the period of about GBP 7.3 billion, closing at a GBP 160.6 billion, and that's 6.5% up on the current year and a positive impact obviously from an averaging perspective. Our core loans and advances grew by 11.6% in the period and that's really up, a fairly good growth in both the private client and the corporate businesses across the geographies. Our customer accounts, that's our deposit base, grew by 6.5% to GBP 31 billion and the ratio of customer accounts to deposits at around about 80% over the period. Now if we look at the components of operating income. Firstly, operating income grew by 6.9% in the period to GBP 2.443 billion. And breaking that down into detail, net interest income grew by 11.7% in the period to GBP 760 million. That's really driven by the underlying growth in the loan book. There were minor negative impacts in South Africa due to the downgrades, which would have picked up some cost of funding. However, that was well offset by improvements in cost of funding in London. Annuity fees grew by 14.2% to GBP 1.1 billion over the period. And again, that is an interplay in terms of the underlying positive momentum that we've seen from funds under management in both the Asset Management and the Wealth businesses. Other fees and operating income decreased by 15.7% to GBP 269 million in the period. Now that's really driven by the fact that there has been lower M&A levels of income experienced in London. If you remember, in the prior year, I think you had a lot of Brexit related activity, and we haven't seen the same level of volumes of activity in the current period. Investments and associate income is up by 14.3% to GBP 177 million. That's positively impacted by the associate income from IEP Group in the current period, which is up significantly over the prior year. Again, there were slight negative movements on listed and unlisted equities, but overall, that line up significantly in the period. Trading income was down by 19.4% to GBP 134 million, again, driven by volumes and activity levels that were heightened in the prior year and that coming off in the current period. Steinhoff had an impact of about GBP 13 million in these numbers, overall. If we look at the nature of the income, still a healthy mix between capital-light and capital-intensive businesses with capital-light revenue streams contributing 56% of the group income and capital-intensive 44%. Capital-intensive is obviously, driven by effectively your banking businesses, driving the lines of net interest investment and associate income in the period. If we have a look at the relationship between costs and revenue in the current period, our cost-to-income ratio did tick up a bit to 66.5%. Again, similar to what we had mentioned earlier, and last year, there's continued investment in the platform and there are certain costs that will come out because of movement of the head office, and so forth, and so on. But some of that noise is still effectively in these numbers. The operating costs are up 8% over the period to GBP 1.6 billion at the core really driven by investment in IT, digital platforms and headcount, which was associated with the growth initiatives across the businesses. Permanent employees stood at 9,444 over the period, up 4.6%, specifically in the Wealth and the Specialist Banking businesses. Impairments in the current period. Overall, impairments, and that's a statutory number, is up GBP 37 million to GBP 148.6 million in the current period and that has picked up statutory credit loss ratio from 54 basis points to 61 basis points. If we had to separate out the impairments associated with the legacy book, which stood at GBP 84.7 million, GBP 30 million higher than the prior year. Our ongoing credit loss ratio stood at 26 basis points. So improving from 29 basis points over the prior period. So I think, bringing the picture together from an ongoing perspective, overall, a relatively satisfactory performance. Operating profit grown by 5.6% to GBP 701 million, really supported by the growth in net core loans and advances of 11.6% to GBP 24.8 billion and third-party assets under management growth that we have spoken about earlier. Attributable earnings at a higher rate of growth at 16.2% with a further benefit from the tax as noted earlier. Adjusted earnings per share, effectively up 13.3% on an ongoing basis to 61.3p in the current period from 54.1p. If we had to just go through some of our financial targets, I think you go do see a distinct difference between ongoing and statutory, and as the legacy book effectively works its way out, we will trend towards the ongoing number. ROE, with a target of between 12% and 16% on a rolling 5-year period, sitting at 14.1% on an ongoing basis, but 12.1% so just at the fringe of the target on a statutory basis. The obvious difference between the two is the level of impairments that we have processed against the legacy book in the current year. Adjusted earnings per share growing by 13.3% on an ongoing basis and 10.1% on a statutory basis. And our cost-to-income ratio, as I indicated, marginally up in the period at 66.5% to 66.9% on a statutory basis. Dividend cover is at 2.2 times, so pretty much within our target. You can see the overall trending line of ROE. Statutory improving over the period, slightly down in the current period because of the high levels of impairments on the legacy book, and that really was driven by intended acceleration of exits against that particular book with the legacy book closing at about GBP 313 million from GBP 476 million in the prior year. And as highlighted before, the gap between these two lines is what we're dealing with in the short-term. I think from a going forward perspective, there are multiple levers to pull in terms of the focus on improving ROE overall, but you can see the differential once we have dealt with the legacy. From a balance sheet perspective, overall, I think capital ratios are healthy and the combined leverage ratios sitting at above 7% and in fact 8.4% in London on a fully loaded basis and that's if you brought in all of the changes to the regulatory capital treatment. And 7.1% in South Africa, supports well the underlying capital targets of greater than 10% in terms of the CET1 ratio with both the U.K. and South Africa sitting within all of the capital ranges. Liquidity remained relatively high in the period at GBP 12.8 billion. And as I mentioned, advances as a percentage of customer deposits at 81%, and we have gone through some of the asset quality numbers as well. I seem to have raised through those numbers. So hopefully you manage to digest them. Stephen will obviously unpack the business drivers behind those. Just before we get there, from the 1 of April and may be fortunately or unfortunately, the rules change, again. So the rules for IFRS 9 comes into play from the 1st of April and we thought we'll give you a flavor of what to expect when those rules come into play. We will issue a comprehensive pack with the annual report at the end of June. So from a plc perspective, impairments are expected to increase from - and this is a balance sheet number, from GBP 158 million to GBP 264 million in the period or in this changeover. And that's really driven by impairments on stage 1 and stage 2 assets in the current period and introducing scenarios to stage 3 provisioning. So the ongoing book drives up - impairments are up by GBP 70 million, and in the legacy book, impairments are up by GBP 57 million. Legacy book really affected or impacted by the increase in provisions associated with being able to bring in a forward-looking view as well as sort of a scenario planning aspect to the underlying provisioning. Impairments will drop slightly by GBP 21 million on balance sheet because there are certain reclassifications that take place on adoption of IFRS 9. The impact on capital, and this is the impact on day 1 is a drop from 11% to 10.5% and the main drivers for that is a 37-basis-point impact of us reclassifying some of our subordinated debt, not some, but all of the subordinated debt that we hold in London to fair value in the current period, that will reverse over time as you move through the life of the underlying instrument. Some of the assets that we've reclassified to fair value has a 7-basis-point impact. And from a transitional perspective, the ECL change or the expected credit loss introduction effectively reduces capital by 3 basis points on day 1. And that takes us to a ratio of 10.5% if we effectively report the same balance sheet that we report on 31, March but on an IFRS 9 basis. From an Investec Limited perspective, or the South African perspective, overall balance sheet impairments are expected to increase from GBP 1.5 billion to GBP 2.2 billion by bringing in expected loss and then increase of GBP 811 million is introducing effectively a higher impairment members of our stage 1 and stage 2 book with a marginal increase on stage 3. The reduction is, again, driven by reclassification of some financial assets that we cannot carry at amortized costs, and that's because it fails test, referred to as SPPI, so a significant - sorry, a repayment of payments and interest. I shouldn't be talking technical, so I apologize, and that's really a reclassification on our balance sheet. So no effect overall. The CET1 ratio is marginally affected in South Africa from 10.2% to 10.0%. 16 basis points for designating assets at fair value and 4 basis points for the transitional impact of ECL. And that's really the impact of IFRS 9. I'd like to say, you will get more detail once we distribute the annual report. I'm going to hand over to Stephen to come back in for the business review.
Stephen Koseff: Thanks, Nish. Better Nish talks the technical stuff than me. Right. Can you hear me? Okay. So if you look at the businesses, I think, if we start off with Investec Asset Management, very positive momentum. Funds under management from GBP 95.3 billion to GBP 103.9 billion, that's an increase of 9% driven by strong inflows of GBP 5.4 billion is in the torque ratio of 5.6% and the positive impact of market and FX movements of GBP 3.2 billion. I think operating profit followed on from that, up 8% from GBP 164.8 billion to GBP 178 billion. And I think that's record year revenues, again driven by increasing assets under management and strong net inflows. I think you remember, at the half year, we did talk about performance fees in South Africa being a lot lower and that would have followed through for the full year. So notwithstanding the good growth in funds under management, we did have lower performance fees, South Africa earnings therefore were a bit lower. I think as a consequence of that, operating margin was down marginally from 33.1% to 33%. So if you exclude performance fees, the operating margin would have increased. I think if we look at flows, and this is a strong feature of these results compared to last year, we had negative flows. This year GBP 2.6 billion from the Americas, GBP 1.4 billion from Asia Pacific, including the Middle East, GBP 1 billion from Europe and GBP 243 million from Africa. Last year, we had stronger flows in Africa. So I think that from an outlook point of view, you can see that the strategy of developing the business in the large markets is working well for us and that we have very strong long-term fundamentals. And we believe that the industry notwithstanding all the talk about passive and all that still remain strong and that's reflected in these inflows. So clearly there are potential challenges of a market correction. That's always out there for this type of business, growing regulatory scrutiny and technology advances and the need to justify value for money. That's what's very important in this industry going forward is that what you do delivers value for money to our clients. So we believe that we've build a sustainable, competitive long-term business, committed to active, I emphasize the word, active investment management and we do have positive momentum, obviously, Hendrik, who's run the business since 1991, he joined us in 1991. He is handing over to John Green and Mimi Ferrini, and he tells me yesterday that the transition has been very smooth and the new leadership is in tow, so that he can come into his new role on the 1st of October or effectively actually from June. On our Wealth & Investment business, operating profit up 5.7% to GBP 98.6 million. South Africa again, down slightly 2.1% in rand. That's partly because the increase in annuity fees was offset by that lack of activity. If you are in South Africa from around about October, lots of things just waiting for the outcome of the ANC elective conference in December. And people were sitting on their hands and not doing anything or pretty nervous. So that would have impacted on this business. And then they do have dollar revenue, which would have translated into less rands because of the appreciation of the rand. The U.K., up 6.3%, very strong good net inflows, as we mentioned earlier, good growth in average funds under management and higher market indices. So overall, we did see a drop-off in operating margin from 25.9% to 24.3%. Operating income up 12.3%. Operating costs up 14.6% that is as a consequence of investment in the business. We have launched a robo adviser called Click & Invest. It is very well received by the market, but there has been a lot of investment to get it up and running, both in digital, IT and headcount. Across actually the business, but part of it in the robo adviser. And then assets under management, as I said, up 2.3% to GBP 56 billion, off the back of net inflows of GBP 2 billion. I think if we look at the outlook for this business, clearly in both geographies, South Africa may be lesser than U.K. it's still got some uncertainty, but I think that our business platform is well in place and that we're well-positioned for the future and we are continuing to invest in building this business. It has been organic over the last few years. It is always an area where you would look to make acquisitions, but nothing available or has come our way, or if it has come our way, it's all very expensive. So I think we have a very strong core business and we will continue to invest in the future and drive this business forward. If we look at the Specialist Banking businesses, overall, up 4.3% clearly with ongoing. If you look at statutory, the numbers are a bit different because of the extreme payments. U.K. ongoing, down 9.3%. I think Nishlan mentioned that there was less activity on the trading desk because we had a lot of activity post-Brexit and the volatility and less M&A activity in this particular period. South Africa up 6.9% in rands supported by reasonable activity across by private client and corporate and quite strong growth in our associate earnings from Investec, used to be called Investec Equity Partners, now called IEP. Cost to income ratio up to 60.5% from just under 60%. Again, lots of investment in IT infrastructure and headcount as we try to grow our platforms. And then strong growth in core loans and advances, which Nishlan spoke about, more moderate growth in customer deposits as, in particular, in the U.K., we're attempting to pull our cost of money down which we were very successful at in this particular period. So U.K. and the international businesses ongoing, revenue was flat GBP 713 million, GBP 713 million that was driven by strong net interest income of 16.3% with advisory fees and M&A activity down by 13.2%. Trading income also down for the reasons I mentioned earlier. I think costs were more moderate in this year, because we already have certain of the costs in our previous financial year. So we still got GBP 10 million of strategic investment in the private bank. And then we have still double premises but the increase was moderate. That will drop off in the about 18 months' time. And then, we did have normalized cost growth of GBP 4.4 million. So overall only up by about 2.8%. I think that the majority of the private banks additional spend is now in the base and as is the double premises costs now in the base. So on the return side, I think we still need to work on getting our ROE up in this business. I think as you are building your platform, so you can drive your revenue growth. There was obviously the political and economic uncertainty that would have impacted activity levels and that might still be the case. However, we have cleaned up. We have dealt with legacy. Nishlan gave you the numbers on legacy, both in this particular financial year and that we have completed the majority of the investment in the private bank. And as I said, the premises costs does appear to double. So we get a clear runway to grow our business, and hopefully, we'll start seeing the right kind of ROE in this business going forward because it has a very solid platform. And then legacy, we - relative to last year GBP 64 million. This year we gave you details in the trading update. We're accelerating certain exits. We started out at GBP 4.8 billion and actually now down to GBP 313 million. And after the adjustment, Nishlan spoke about for IFRS 9 it'll be down to GBP 257 million. So from here on we will not report legacy anymore. It will be re-categorized into stage 2 and stage 3 under IFRS 9. So that will be the end of us reporting ongoing versus statutory. And that's a big burden out of our way. If I move to South Africa. I think you saw revenue increase from ZAR 12.9 billion to ZAR 13.5 billion. Tough environment to grow revenue. We did get book growth of 8.7%, but net interest income didn't really follow that because of, as Nishlan mentioned, we would have lost - we would have had an increase in cost of money when we had the right team down there with some of our international fundraising activities. But overall, we managed to get decent revenue growth in a tough environment. I think clearly we have seen a big shift in the political front. There are still challenges, but moving into a much better space as the new presidency tackles some of the big issues of corruption and inefficiencies of the state, but that is going to take quite a bit of time. And then if you look at ROE, again, it was down slightly in this particular year, but you know, we are targeting to improve that ROE as we move forward and optimize ROE, optimize our capital structure. So I think, moving on to strategic priorities, I think if you look at Asset Management, again, full focus is on client's performance, people and long-term growth. I think we have seen a big improvement in investment performance. It will impact about 18 months. Our investment performance in South Africa had been a bit weaker. I think that's turned a lot. We've maintained a strong momentum in the advisor business globally. We are growing our presence in large markets, especially North America. We continue to build scale in our multi-asset and quality capabilities. And we want to see all our investment capabilities evolve for the future and we are building a foundation for alternatives. So again, it is a business where performance and clients are our priority, and that we are trying to build an intergenerational and long-term business. On Wealth, I think, we've spoken about building long-term sustainability. Digitalization has been a key focus. Client service is always going be a focus in this business. It's a people business and you have to look after your clients, making sure we have a global investment offering is again important for certain types of clients who are not domestic and more international. And we are identifying opportunities and building skills in alternative investment, fiduciary and tax all that is being necessary for those type of clients. And then we have a lot of efficiency initiatives, including new systems, particularly in our international business, in our South African business that will come on stream over the next 2 years. So again, focusing on the long-term, while making sure we deliver in the short-term. If we look at the U.K. Specialist Bank, I think we have spent a lot of time and effort trying to build out our franchises and deepen our client relationships. We've been spending also a lot of money on establishing a high-tech and high touch domestically relevant, because relevance is very important to you, growth-orientated business. The private bank focus is now shifting from platform development to client acquisition. And we're having a lot of success on that front, but it is a long game. And then always you have to improve coordination across these business units. More focus on capital-light activities so that we can improve ROE, and again, focus on operational efficiencies so we can improve costs. If we look at South Africa, I think always trying to look for new sources of revenue. Liquidity is important to manage and building on retail funding initiatives will be important going forward. Capital and managing and optimizing returns as we're trying to get our ROE up, and then as we said a thousand times, investment in technology and our infrastructure. I think one thing you may not be familiar with, although I think we've spoken about this before is the launch of what we call Investec for Business. That's designed to deliver an integrated service to the mid-market corporates. It's something that we've never really done properly and well. We have a number of business units that we've merged into one, including Investec Import Solutions and part of the corporate bank and we have big hopes for that business as another pillar in our banking offering between the corporate bank and the private bank. And that we are moving very fast on that and hopefully within the next year or two, you'll start seeing very good results from that area. So, I think outlook for us was satisfactory operating performance. We had good growth in our key earnings drivers. We had solid client activity level, and obviously, our recurring income base actually continue to grow. We still face the complexities of Brexit and how - what kind of Brexit one ends up within the U.K. The issue is not as much what does it do to our European businesses because they're small in our overall scheme of things and we have plans for that. It's more about what happens to the domestic economy from the uncertainty created. I think on South Africa, perhaps the opposite, because we have a lot more clarity. There is still lots of political challenges, but at least, we're starting to see the government tackle some of the big, big issues out there. We will continue to invest in infrastructure, our digital platforms and our people to make sure that we're well-positioned for future growth. So we as an organization remain committed to shareholder value. I think we have the right people and right skills to take advantage of opportunities in our core markets, while at the same time maintaining and providing exceptional services to our clients. So what I'm going to talk about because this is the last year in which I'll be presenting these results after I can't remember how long, but a long time since one of our previous Chairman said, "You can't just carry on running a public company without talking to the market.” I think that was about 1988 was the first time we had an investor presentation. So I can't remember how many years that is, it is like 30 years. But we've been building this business for 38 years, Bernard will now argue whether it's 40 or 38 years, but I'd say we've been a bank for 38 years. So almost today I think we went on the plane to go and talk to the people who were selling right trustees on the 17th of May. I don't know, what's the date today? 17th. so it is 38 years to-date that we went on the plane to go and talk to the people from trustees. It is a coincidence, but I remember going on that plane to talk to those people. So I'm going to talk a little bit about our history. So please I'm taking longer than normal for this, but it is our last shot at it. This generation's last shot at it. So I think from the outset, our aim was to build a sustainable business, building all areas of capital simultaneously; financial, client, human and social and environmental. And why we try to do this is to ensure that we have the resilience to support us through varying cycles. So some of us have lived through five financial crisis of various forms. I don't want to go into each and every one of them. They all have been different. They all have brought different angles to how you manage and run your business, and each one of them have brought significant learning experiences to us as an organization. As I was talking about legacy, that is the tale of the last one that we went through. So in building capital, we started out I can remember our first balance sheet in 1981 from being a bank, I can go back to 1976 when I think we had a negative balance sheet. We've got our founder here Kantor, and that I can't remember, that GBP 90 million negative, that we at ZAR 1.7 million of capital, 97 - that's stayed at the end of below ZAR 2 to the pound, yeah, about ZAR 1.80 to the pound. So we started with GBP 970,000. Today, we've got GBP 5.4 billion of capital. You see we had lots of bumps in the road when you don't create capital, but I think you have these puts when you do. I think we had GBP 17 million of funds. We say that was funded under administration. I'm still trying to work out what they were, but that was in our 1981 annual report. I'm not sure exactly what they were, because we didn't have an Asset Management on yet. But today, we have GBP 161 billion of funds under administration. I think we had GBP 7 million of deposits. Today, we have GBP 31 billion of deposits. We had GBP 4 million of loans, mainly to doctors, accountants and some small corporates. Today, we have GBP 25 billion of loans across our various our business units. Our first year's earnings as a bank was ZAR 280,000. That translated to GBP 160,000, and now this is statutory GBP 491 million. Our share price, which were below ZAR 1, I don't know ZAR 95-odd, but obviously, we've seen a lot of ups and downs. When we listed in London, we listed at GBP 1.60. That's been tougher since the financial crisis as we start - as we try to get our business model appropriately reshaped, which we believe is now and is there for the future. So we think that hopefully you guys will start recognizing the platform that we've built and where this platform can be taken under more energetic and smarter leadership. I think one thing Investec has always been is about the client. So I've got some extracts from our annual report in 1984 and 1985, some of you weren't born yet, but still, pursuant to strategic objective of building committed relationship with clients over time, we started corporate banking relations. That was Bernard who switched jobs, when he moved from being a trader, because it was across because he wasn't happy with something that he did say moved into corporate banking relations, okay, and he had to go and look for corporate clients. In 1985, Investec believes it should concentrate on knowing its clients and their requirements. Recognize the value of its relationship with clients over time, maintains a policy of building committed long-term relationships internally and externally. These are things that are very ingrained in our value system and our culture. And I think people who deal with Investec and particularly, the Wealth business or in the private bank will know how client-orientated we are as a firm. So today, our focus remains identical. We have a client-focused approach. Our clients are our business. We are not all things to all people. So we serve select market niches, which is where we compete effectively. Our distinction lies in our ability to be nimble, flexible and innovative and to give clients high levels of service to work with our clients to build their wealth, while at the same time creating value for our shareholders. So in that process, we spent millions establishing our brand, gaining recognition. These are some of the ads over the years. You've got the one there with a hedgehog. Don't avoid risk, manage it. And the hedgehog's got little symbols on it, those things that you use when you're knitting so you don't prick your fingers. It's got those things on there. We also got the one not just another bank and the Leaning Tower of Pisa, can't remember what the ad said. But we've got lots of this in our history. I think we now have an internationally recognized brand. Our zebra is recognized in lots of different geographies around the world and lots of people love that zebra. We were rated the second best banking brand in South Africa. And we're not a retail bank. We're not a cross. We don't have branches everywhere with our banner hanging out. Yes, we make a lot of noise on TV with some of the sports that we sponsor and then other initiatives that we adopt, but clearly, we're very proud of this achievement. I think we've also invested in our talent and leadership. I know I've just got a headcount chart here but we've seen people on lots of programs, people development is very important. We have a lots of intern programs in our organization. We grow from within. The next generation of leadership, Hendrik started with us in 1991 as a youngster, coming from Old Mutual. Bernard had to go right on the beach to actually find him to hire him so that I could convince him to join Investec. Fani joined us as a board member in 2003, almost to the day when he became one of our first BE partners and he was a client of theirs for about 5 years, 6 years before that. So we've had strong relationships with the people that are moving to the next generation. And clearly, our leadership, if you take our banking leadership, they've been here at least I remember '94, '94 is Richard and David, Henry brought his business when he was at HSBC. Steve Elliott joined us in the mid, I'm trying to work out '80 something. KeranKaren Gillan joined us in the '80s. Kim McFarland who is taking over as Finance Director responsible for finance, IT and operations, she joined us with Hendrik just after Hendrik, when he had two people. So we've had a long history with the people that worked for us. I've been here 38 years, and longer because he started the business, in that case just like I'm going to be one day. So we also have always cared. We care about our people. We've cared about our environment. We've cared about the world around us. If you look at this one quote from the 1996 Investec Bank Limited annual report, we talk about socioeconomic imperative, greater economic participation for all members of South Africa. That theme that is still being spoken about today that we talk about that the ANC called radical economic transformation. We call it accelerated inclusive, because we don't like the word radical economic transformation. We talked about that in 1996 just after, and we talked about it even before that. We started trying to back entrepreneurs through and we started to think of the business place, I can't remember exactly when, but it said 201. We've always had our people actively involved in social responsibility. We backed the thing called City Campus University to try and educate young rural people when we moved from 55 Fox Street 20 years ago to this building and we gave them 55 Fox Street for free for 10 years. So we've always cared. We always focused on education and entrepreneurship. So our major program permits, I forget the numbers, but we had I think 1,200 people write meds for metric. That was 0.5% of the people that write meds for metric, over 300 of our people got A's. 6,000 in the whole country got A's. We've got 1,200 people 0.5%, 5% of the A's and I'm excluding the people from private schools who would have got A's, who wrote metric. So that's an intervention that is significant, that is helping us uplift people when you give people the skills to go forward. And I'm taking long, I apologize, but I need to say all this. I think in transforming our communities, we've been actively involved in the sporting the years project, which the President has spoken about many, many times. We've actually paid - one of our foundations have paid for the cost to get up and running. We've helped the people that since moved to get it up and running and we've put a massive amount of effort as an organization. All our staff come up as our work positive in the project, can I help with the Yes project. That's the kind of culture and value system that is being created. We also do a lot on the environmental side. Supporting the economy of wildlife, making sure that we will still have a Big Five, because the Big Five is very important for tourist to come to South Africa. If you go to a Big 4 because you lose your honor, then you go to Kenya instead of South Africa. These are very important things for our society. And our most recent project is a theme called, innovative: Africa where we're taking water to villages. We already done two, we're going to do fifteen and hopefully that can be escalated as it gets broader support from the corporate environment. We've still got villages in this country where people have to walk far to think I used to get dirty water from a stream, we've now started I think we are doing our third where you put a bore out, driven by solo into the villages and you give them clean water in the village. So hopefully we can do with the rest of society a lot more on that front. So these are all important things for Investec, it's not just about the money, we always say yes, you want more ROE, but you also have to make a contribution because if you don't make a contribution if you don't uplift, you won't have a society to get ROE from. And I think that's a big issue in South Africa. So over 38 years, we booked what we believe to be a quality franchise. That has the will to survive and thrive in all conditions. We believe we have people with wisdom, professional ability and individual brilliance that operate in the strong cultural context where effective performance is the driving force. We leave a business that is conscious not only our value to clients and shareholders but also to the individuals within the business and the broader communities we serve. I was worried about this. I think we are very proud and happy and hand over solid sustainable caring organization for the next generation of leaders knowing that they're well equipped to take the group to the next level. I think I'll quote from Winston Churchill because we've been through many ups and downs in life that success is not final, failure is not final, it's the courage to continue, and that counts. And I think that if I talk about my colleagues who worked with me over many, many years three of us are stepping down over the next year, Bernard Kantor and Glynn Burger. I think that you know together with the rest of our team of leaders, there are many times when you've had the courage had to have the courage to continue. We've as I said, we've been through five of these crises, all different, some worse than others. But you know the resilience of this organization, the resilience of the people in the organization has given us the courage to continue. So that's the end of my story. I think just a few thank you, I'll go long. I normally finished in half an hour, today I'm fifty five minutes. I think we got our Founder, Ian Kantor, he was the guy with original vision. And he is still on our board and he always had big ideas and I thought the guy was mad. We need to say this is what we're going to be one day and I thought this is you know we just need any money to doctors. So my colleagues, Bernard Glenn, I can see you know lots of colleagues there who have worked with us for many, many years, I can't mention only you. I have to thank all of them for the kind of support that we have received from each and every one of you over many, many years. I've got my colleague Bradley Tapnack, who's been with us for a long time. I have to mention him personally because he is, I don't how old are you, 72? 71, sorry. You look 72. Bradley Tapnack step down from the board of Investec bank limited yesterday, last night because finally became an executive. I'm running Russian a golly Fani but doesn't matter. He came in as executive, so we were getting legally out of balance. So Bradley step down, he is still on the board of some of our other operating subsidiaries. And as my colleague Richard Wainwright say as long as Bradley wants to work, he has a place at Investec because of the wisdom and the understanding that he brings. Bradley again to you, thank you. The many more of you that I could thank personally, and almost I am going to thank my Investor Relations team, Ursula and the rest of the team who have made sure that my job is very, very easy, because I understand everything that happens in this organization and make sure that everything is delivered on time in the right form. So I will sit, I draw and not deliver net part of an Investec value system. I've got my wife and my son here, who I bet you be with me over many, many years and I thank them. Shareholders, sometimes we deliver returns to, sometimes we haven't, sometimes you got pretty grumpy, obviously you know we try to build a sustainable platform and then sometimes you just don't go right in the world and sometimes stuff happens. But hopefully you will see that you have a good platform and that my colleagues who are taking over from Bernard, Clinton and I can drive this business forward and get you that right ROE that you think is elusive and under our regime. I think the media they many times in life where I used to shout at you, I learned as I got a bit older than I mustn't, I must talk to you. So thank you all for being there and now we do listen to what you say as we do with analysts because at the end of the day, if you can't listen to what people say then you know hubris is a very, very bad thing. I want to congratulate Fani and Hendrick, who are taking over the organization and driving it forward alongside and Kim MacFarlane and Ciaran, who will also be board members, Richard Wainwright, David van der Walt, Steve Elliott, Hendrik du Toit, many of you that I need to congratulate you will help us take the organization forward and still carry the flag. And as we said you know we're not disappearing, we moved from the front of the bus to the back of the bus and people say will you be have to keep quiet at the back of the bus and I hope so, I'll try, otherwise let me in the building, there you tell me you can't get a credit meetings anymore. And then our incoming Chairman Perry Crosthwaite, we had a long association with him, he left us many years ago. When we brought in a small, he was an executive of Crosthwaite. We used to say, Perry used to smile with his teeth because you're very tough fella to negotiate incentive packages but he came back on to our board many years later and we thank him for it assuming the role of Chairman, [indiscernible] point, I think you saw an announcement last night. So Perry, thank you and welcome in your chair position from Senior Independent Director. [indiscernible] I know he is not here Unfortunately, went to memorial service for Cheryl Carolus' in-laws who unfortunately murdered if you will see in the newspaper that is a memorial service and our sympathies go to Cheryl and her family for that horrible deed that I don't know how people can do that to an 84 year old and 94 old, particularly people who've been active in our society had to try and help everyone. But Kumar takes over as Chairman of Investec Bank Limited. I think from yesterday and then Bryan Stevenson takes over from Fani as Chairman Investec Bank plc. So that's the end of my story. I'm sorry here to be with this last twenty five minutes of history, but it is the last time we can stand and talk to you in this capacity. So I thank everybody for all that you've done for us, for the clients where everyone has made a difference to making this today. And I'm going to call on Perry just to say few words.
Perry Crosthwaite: Can you hear me? It's a great honor stand here today and to thank Stephen, Bernard and Glenn for the phenomenal business you've built over almost 40 years. It's quite unbelievable what you've achieved over that period. A business with over 10,000 employees, offices in almost every financial center in the world, operating profits of around 700 million, and a market capitalization combining the two markets, it's quoted on of around GBP 6 billion. That's quite remarkable. On behalf of all your stakeholders, your employees, your shareholders and societies to which you contributed so much, I thank you. Perhaps it's great achievement was handing over the running of the business that he founded the you three and I hope your greatest achievement would be handing a business over in such good shape to such a strong team who is succeeding you. And we are all delight that you will remain part of the group in different roles going forward, I wish there to guide us going forward. Thank you so much.
Stephen Koseff: So questions. I cannot have questions you know I always want to ask questions. No questions. Any questions in London? What's his name? No one. Okay, even we've quieted him today. Okay, well this drinks and stuff and food I hope, so enjoy. Thank you. Thanks very much.
Q - :